Operator: Good morning, and welcome to Parex Resources Third Quarter Results Conference Call and Webcast. Parex released yesterday its unaudited financial and operating results for the quarter ended September 30, 2015. Copies of the Company’s consolidated financial statements and the related MD&A are available under the Company’s profile at www.sedar.com and on the Company’s website at www.parexresources.com. Before turning the meeting over to Mr. Wayne Foo, President and CEO of Parex Resources, Inc., I would like to mention that this call is being recorded and will be available for playback on the Company’s website. Parex also would like to remind participants that all of the Company’s continuous disclosure documents may be found on SEDAR or on its website. These documents provide more complete information than what may be discussed during this call this morning. Any remarks made by management during this call may contain forward-looking statements that are based on management’s expectations, current beliefs, and assumptions regarding Parex’s future growth, results of operations, production, future capital, other expenditures, plans and results of drilling activity, environmental matters, business prospects, opportunities, and transactions. Forward-looking statements involve significant known and unknown risks and uncertainties, which are fully disclosed in the Company’s disclosure documents as previously mentioned. The information discussed today is made as of today’s date and time, and Parex assumes no obligation to update or revise this information to reflect new events or circumstances except as required by law. [Operator Instructions] I would now like to turn the meeting over to Mr. Wayne Foo, President and CEO of Parex Resources Incorporated. Please go ahead Mr. Foo.
Wayne Foo: Good morning. And thank you all for joining us this morning. With me today is Ken Pinsky, our Chief Financial Officer; Dave Taylor, our Executive VP of Exploration and Business Development; and Mike Kruchten, our VP of Corporate Planning and Investor Relations. I’d like to thank Mike for making the change to having operator read those statements and ease that. The format for today’s conference call will be a question-and-answer session with our audience. And we’ll open the line to questions right away. Operator, over to you.
Operator: Thank you. [Operator Instructions] The first question is from David Dudlyke from Dundee Capital Markets. Please go ahead.
David Dudlyke: First question would be on the tax restructuring, maybe the first of several questions on this matter. And I’m no tax export. But I look to your statements and you talk about a gained increased tax basis; and the use of loss carry-forwards in the newly consolidated entity. And then you talk about the go forward current tax rate being less 10% of your Colombian segmented cash flows. And I think from memory that compares with something in the mid-teens. But correct me if I’m wrong. You also say that the benefit is expected to reduce over time. So, I guess I’m trying to understand, is this some sort of tax loss carry-forward creation that basically will just work its way through the system, or have you done something much more nifty and structural and long lasting in nature?
Ken Pinsky: Hi, David; it’s Ken. Basically, there is nothing nifty around it, it is pretty straight forward. We’re matching revenues with capital expenditures and some of our non-capital loss carry-forwards, so that instead of having revenue in one bucket and capital expenditures in another bucket, you combine the buckets and get the benefit of the tax basis. As you know, we do have a fair amount of exploration and drillings continually, plus other projects. So, you just want to match your revenue with your expenditures. If you look at year-to-date, you’ve got about $6 of barrel in tax expense. By the end of the year, you won’t -- we’ve said, we’d have some minor tax booking, because there is always true-ups on tax calculations, because your tax in Colombia is based upon what we call units of production for your tax completion, plus there is trivial expense that you may or may not encounter, and both those are pretty tough to forecast. So, there may be some noise in the fourth quarter in a minor amounts which we’ve said. But I think you will see our tax per barrel go to 450 [ph] year-to-date for the full 2015. And then next year for 2016, we’re saying it’s going to be in a $1 to $1.50 per barrel range, which brings into both $10 to $15 million cash for current tax expense. I think going forward in subsequent years, as to me, tax is going to depend upon a number of things including exploration success, and where commodity prices go. But that’s why see that the benefit of this will last for more than one year but start to use estimations of what you are going to do in 2017, ‘18 becomes a very difficult. But that just gives you a bit of an outline of what we did and why we did that thing.
David Dudlyke: But if we set that that’s flat to 50, am I being way too simply -- you’ve incurred a cash charge of $24 million in this third quarter, by my reckoning, the benefit seems to throw off -- a payback for that upfront charge seems to be in the two-year frame -- two to three year frame, assuming nothing changes or is it much shorter than that?
Ken Pinsky: Yes, it’s much shorter than that. If you look at what people were thinking our tax might be for 2016, it was $50 million, instead of running 10 to 15; paybacks in matter of months.
David Dudlyke: Well, thank you for correcting me that. And my second question would just be on the exploration commitment wells. You make reference to some 10 wells next year and that plays again, so I eight exploration commitments that you’ve planned to drill this year. I guess is there any long period -- I believe this year you saw the ANH allow you to swap [ph] a commitment on one block with the Chachalaca exploration well on Block 34. Are you likely to be able to mix and match commitments between blocks next year or do you see that this realization we’ve got a one-off?
Dave Taylor: If we can swap a well or two, we would try to. It becomes pretty complex, when you don’t have the same working interest in blocks. So, it’s easier to switch a block from a 100% working interest to another 100% working interest block, but it’s more difficult when you have partnerships involved. So we don’t see that as something we’ll do a lot of but there might be an opportunity to defer a well or two to another block. We’re also applying for quarter two and to quarter three [ph] to defer the timing of some of the commitments. But at the end of the day, these are commitments that are going to have to be drilled we’ve got some schedule in for 2016. We had a couple deferred from 2015 based on those quarters. [Ph] So, most of those will be firm as we’ve talked about.
Operator: Thank you. [Operator Instructions] The next question is from Ian Macqueen from Paradigm Capital. Please go ahead.
Ian Macqueen: Hi guys, just a follow-up on David’s question. You’ve giving us a gross exploration well number for 2016. I’m sure you’ll eventually give us more detail on what locations those are. But can you just briefly give a net drilling location for 2016?
Dave Taylor: Yes. It’s pretty much, they’re all gross except for one well.
Ian Macqueen: Okay.
Dave Taylor: So, some of them are earnings -- they’re earning wells and some of trued up.
Ian Macqueen: Okay. But they will all be exploration wells?
Dave Taylor: Yes.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Foo.
Wayne Foo: Okay. Well, I’d like to take this opportunity to thank you for your interest in Parex Resources and your continued support of the Company. For further information, we invite you to visit our website or call us. Thank you again and have a good day. Operator?
Operator: Thank you. That concludes this morning’s conference call and webcast. If you would like to replay the call, please visit the Events page on the Company’s website under Newsroom. Thank you and good bye.